Operator: Greetings, and welcome to the Dutch Bros Fourth Quarter 2021 Conference Call. [Operator instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host, Paddy Warren, Director of Investor Relations and Corporate Development. Sir, you may begin.
Paddy Warren: Good afternoon and welcome. I'm joined today by Joth Ricci, president and CEO; and Charley Jemley, CFO. We issued our earnings press releases for the quarter and year ended December 31, 2021, after the market closed today, and we will file our 10-K in the upcoming days. We have also posted our earnings press release and a supplement information deck on our investor relations website and investors@dutchbros.com and will post our 10-K there as well when it is released. A recording of today's call will be available on our website immediately following this call. Please be aware that all statements in our prepared remarks and responses to your questions other than those historical facts, including statements regarding our future results of operations or financial conditions, business strategy and plans, and objectives of management for future operations, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are inherently subject to risks, uncertainties, and assumptions, there are not guarantees of performance, and are expressly qualified in their entirety by cautionary statements. The forward-looking statements made are of as today's date, and we undertake no obligation to update them to reflect events or circumstances after today, which will reflect new information, actual results, revised expectations or the occurrence of unanticipated events, except for as required by law. We may not actually achieve the plan, intentions, or expectations disclosed in our forward-looking statements, and you should not place undue reliance upon our forward-looking statements. For more details, please refer to our earnings press release and to the risk factors in our other SEC filings, particularly the risk factors described in our quarterly report on Form 10-Q for the quarter ended September 31, 2021 filed with the SEC on November 12, 2021 and then our 10-K for the year ended 2021 that will be filed in the upcoming days. Finally, while we have prepared our consolidated financial statements in accordance with generally accepted accounting principles of the United States, we will also reference non-GAAP financial measures today, which can be useful in evaluating our core operating performance. However, these non-GAAP financial measures, which may be different than similarly titled measures used by other companies, and are not substitutes for measures that are prepared under generally accounting -- generally accepted accounting principles. Rather, they are presented to enhance investors' overall understanding of our financial performance but should not be considered a substitute for or superior to the financial information prepared and presented in accordance with GAAP. Investors should therefore review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings press release and not to rely on any single financial measure to evaluate our business. With that, I would like to turn the call over to Joth.
Joth Ricci: Thank you, Paddy. And good afternoon and welcome everyone. We appreciate your interest in Dutch Bros. Let me begin by some opening remarks on our 2021 performance and then discuss how well positioned we are for the future. Charlie will then review the important specifics of our financial results and provide guidance for 2022. I will conclude with some final thoughts before turning the call over to Q&A. Our first section is shop development, 2021 was a record year for Dutch Bros on many levels. Of course, we completed a successful IPO. But equally important we opened 98 shops systemwide of which 82 were company operated, surpassing our previously provided guidance of 92 systemwide shops. In the process. We also entered three new states Texas, Oklahoma and Kansas. The magnitude of our new shop openings along with our continued expansion into new markets, who has stood the test in the team delivered. We also handled the faster pace of new openings very well and these units are performing at a very high level. In the fourth quarter new shop development was the highest on record for Dutch Bros. We opened 35 new shops, including 30 company-operated shops. In December, we opened a record 23 shops. On one December 3, we open six locations in six different states, demonstrating our capacity to manage simultaneous development across multiple markets. Also of note you reopened eight more shops on the last weekend of the year. Through our pre- opening programs, we continue to invest in the success of each new shop, especially as we enter new markets. We send a dedicated opening team to instill our distinctive culture of speed, quality and service. And in the long run, this investment pays for itself in spades. When shops open late in the quarter, they incur all of this pre-opening investment that typically do not yet have a chance to contribute meaningfully to the revenue or profitability and to offset these pre-opening investments in the current quarter. Charlie will get into further detail on new unit performance and overall profitability. When we enter a new market, we start with one shot that quickly build several more to capture market share and satisfy consumer demand. Density and scale create a positive flywheel effect for us increasing brand awareness and providing more capacity to serve customers. Since 2020, average unit volumes for new shops have exceeded the system average. And these shops have demonstrated a predictable and consistent volume and margin progression, typically reaching margin maturity within three to four quarters of opening. The first quarter has also been off to a strong start. With February we open 25 shops, all of which are company-operated, we expect to end the quarter with at least 30 new shops opened. We are excited about our near-term development growth prospects. The new shop opportunities even better than we originally anticipated during our IPO process last year, as evidenced by our strong performance in new markets like Texas, Oklahoma, Tennessee and Kansas. In early 2022, we opened our first shop east of the Mississippi River in Nashville, Tennessee. Throughout 2022, we will continue to expand in Texas, Oklahoma, Tennessee and Kansas and also ramp up development in Southern California, where results are pointing to a significant opportunity. In total, we now expect to open at least 125 shops above our original guidance of at least 112. Our ability to increase our development goal for 2022 is based upon our incredibly talented pool of operators, as well as our confidence in our ability to identify and secure new sites at attractive returns. Staffing and labor headwinds within the overall industry are well known, we've read the headlines. While we are neither immune from market forces nor the impact of the Omicron variant. Our overall labor costs and ability to maintain normal operating hours were stable in the fourth quarter, and now into 2022. We had less than 1% downtime during the fourth quarter. This figure ticked up slightly in January 2022 as the variant peaked but quickly subsided in February, we were able to utilize pooled staffing to help us during these times, our fully cross trained crews allow us to fill in where one shop as a shortage relative to another and draw from this pool as needed to weather the headwinds, we have not experienced the staffing challenges of the great resignation. During the fourth quarter, our shop level turnover was 56% and down sequentially from the third quarter. At the regional operator level, we have virtually nonexistent turnover which we attribute to our unique people first culture along with the significant career development opportunities and financial incentives that we provide to our employees. Dutch Bros has always been a people and culture first company focused on providing meaningful development opportunities to those who want them. As we increase our shop development target, we open up even more leadership and growth opportunities for our people. We are not a real estate company. Our primary focus is not site development availability, it is people development. When we commit to growth numbers, we do so because we are confident in the readiness of our operators. When we guide to at least 125 new shop openings this year, we do so with the knowledge that we have a sufficient bench strength ready to achieve the goal. Currently, we have nearly 200 fully qualified regional operator candidates in the pipeline ready to run a market. These candidates grew up in the Dutch Bros system, working their way up from Brewista both in our shops and our franchisee shops, and have an average tenure of about 6.5 years. At scale, they can support the 750 to 1,000 new shops across our system that we have planned. Behind these fully qualified regional operator candidates are approximately 900 others in the Dutch Bros leadership Pathway Program. Leadership Pathway Program provides a clear path from Brewista to the manager to regional operator and as the core of our people development system. Augmenting this program is our new add assist program that provides tuition assistance for all employees across the company. We believe that our employees’ continuous improvement both personally and professionally, improves retention and positions Dutch Bros to win. Now let's turn to our performance. Fourth quarter revenue increased 55.8% to $140.1 million compared to last year. System same shop sales grew 10.1% in the fourth quarter, and 15.3% on a two year basis. While the company-operated same shop sales grew 11.5% in the fourth quarter, and 17.3% on two year basis. Our sales trends were steady throughout the quarter. We've benefited from good performance in our fall and holiday promotion window enticing more customers to choose a premium add-on or larger size and the execution of a systemwide price increase. In combination, these efforts resulted in a weighted average price increase that far exceeded our list price adjustments. Quarterly adjusted EBITDA was $13.3 million at the upper end of our previously provided guidance range of $12.5 million to $13.5 million included in this figure is a $6.2 million in pre-opening expenses, of which approximately $1 million is related to openings that took place late in the third quarter. The remaining investments supported a record setting 30 company-operated shop openings in the fourth quarter. Our confidence in our people pipeline and development team allowed us to accelerate openings ahead of plan, allowing the shops to sooner contribute to profitability in 2022. While we are not immune to margin pressures, but are managing it appropriately, we continue to look for operational improvements and further opportunities in our market based pricing model. In addition, we will use segmentation, personalization and innovation to excite our customers about our unique premium and at times higher margin beverage offerings. In November, we successfully took a modest price increase of 2.9%. It was our first since prior to the pandemic and was well received by our customers operators and franchisees. Total revenue for the fiscal 2021 increased 52.1% to $497.9 million compared to last year. System same shop sales grew 8.4% for fiscal 2021 and 10.3% on two year basis, while the company-operated same shop sales grew 9% for the full year 2021 and 11.1% on a two year basis. Annual adjusted EBITDA reached $82.1 million, an increase of 17.7% compared to 2020. Momentum has continued into the new year, underlying consumer demand remains very positive as evidenced by our same shop sales and continued acceptance as we enter new markets and infill our current markets. As we've discussed in the past one of our biggest priorities in 2021 and moving forward is the Dutch Rewards App. The Dutch rewards program launch last year had already grown to $3.2 million registered users by year end, which is approximately 6,000 customers per shop. In the fourth quarter alone, we added a 0.5 million new members. Over the last six months the average ticket for Dutch rewards members was also 3% higher than for non-rewards members. At year end, our digital tender was over 60%. We are pleased with our customers’ adoption and use of the Dutch rewards, especially as users begin to utilize the platform Stored Value features. As more customers load funds to their accounts, we believe it can reduce transaction times, speed up our lines, and free time to create meaningful lasting connections. Through the app, we also have the ability to remember each interaction with all of our Dutch rewards members, we can leverage this knowledge to generate custom offers and thoughtful messaging to personalize our members Dutch Bros experience. We're in the early innings of this work and we're excited to continue unlocking value for our customers and our brand. Another area of things we aim for internally is to make a massive difference one cup at a time. Giving back to our communities has always been part of our DNA. Over the last several years we've expanded and institutionalize what we call our social impact platform. This includes our ongoing philanthropy, diversity, equity and inclusion, sustainability, and community and government relations. As a values driven company, we hold ourselves accountable to our employees and our customers in this space, and they have high expectations. We have made clear our unwavering commitment to inclusions, launched important programs to support and train our people and initiated systems to foster a diverse and inclusive future for Dutch Bros. Likewise, our sustainability program is focused on near -term goals to reduce our waste and water usage and ensure our coffee is ethically sourced. At the same time we are doing a set of commitments towards an overall 2030 carbon reduction goal that will help ensure that we are a meaningful contributor to positive environmental change in the decade ahead. We are excited to continue developing our capabilities along these pillars and share our progress accomplishments and areas of improvement with you. To conclude, we believe that we have something here that is unique and growing profitable business with a phenomenal culture, and loyal customer base with the foundation necessary to support growth for many, many years to come. After over two years of virtual events due to the pandemic, we held our first in person Leadership Summit in Nashville this February, the energy of our teams was unmatched. We also recently celebrated the Dutch Bros 30th anniversary in our home city of Grants Pass, our employees were able to celebrate with their co-founder Travis, and take a moment to reflect on the company's journey. These two get together will impact our G&A in the first quarter. It's been some time since we have the ability to bring our people together on a larger scale. And we believe this investment is critical to our culture. Both events were incredible for operators, franchisees and headquarters employees, testament to the culture we have worked so hard to create, carefully nurture and grow for over 30 years now. It was humbling to look back at just how far we've come from the first double-head espresso machine on a pushcart in downtown Grants Pass, Oregon, to a system of over 538 shops across 12 states at the end of 2021. And while we are proud to be recognized as one of the fastest growing brands in the United States Food Service and Restaurant Industry by location count, we are still in the early stages of a long-term growth story with enormous potential. Our goal is to serve high quality handcrafted drinks at 4,000 locations across the US within the next 10 to 15 years, while continuing to develop a people pipeline that enables our unit growth and supports communities. With that, I'd like to turn the call over to Charlie to review a few more details of the results.
Charley Jemley: Thanks, Joth. As Joth highlighted, we're off to a very good start as a public company and we enter 2022 with good momentum across the business. Looking inside 2021's financial performance and looking forward into 2022, it's important to reflect on the overall investment thesis and map our outcomes against that frame of reference. In addition to our earnings release, there is a presentation that outlines our results posted on our Investor Relations website that contains supplemental information in details. As a people first growth company one of our key objectives is to expand the brand and give our people across the system new opportunities. This is going very well and even better than we anticipated entering 2021. Let's get to the specifics of new shop growth. Our objectives in the near term were to grow shop count by 20% annually, and to add new shops that mature with average unit volumes at least as high as our system average. At the end of the fourth quarter we had 271 company-operated shops, nearly 50% more than we had at the end of 2020. Our overall system shop count was 538 shops or 22% more than we had at the end of 2020. Ahead of that objective and our guidance is 20 plus percent growth again in 2022. The second objective was to add shops that meet or exceed our system AUV, we continue to see new shops performing higher than our system averages even as we work diligently to infill existing markets and quickly follow on in new markets. Shops opened in 2020 are averaging $2.1 million in average unit volumes. And shops open during 2021 are trending above this figure as well. Take for example our College Station, Bryan Market where we made our Texas entry just over a year ago. After launching our first shop with volumes well ahead of our system average, we quickly filled in the market to better distribute the demand amongst four total shops that are all within four miles of each other. The net effect was a better experience for our teams and our customers. This will be a recurring theme as we enter new markets. We do not celebrate after big opening and seek to harvest. We're very mindful of wait times and providing the best experience possible for our customers and for our teams. Our speed goal is not only to have good overall service times for each experience, but to also be consistent in delivering that service by being very reliable. We believe that protecting shops from being overburdened helps us achieve these goals. Our growth strategy is playing out in new markets like Texas, and in legacy markets like California, where we're taking our expansion in Southern California up a notch. In Southern California, we are seeing high opening week volumes just like we have been seeing in Texas, Oklahoma, Kansas and Tennessee. This speaks to how well the brand travels and to the underlying demand for the brand in existing and new markets. We enter 2022 with a strong pipeline of new shops that fit inside our selection criteria and meet our overall growth strategy objectives, to expand an existing markets and to open a select set of new markets each year. All this is designed to give our operators growth opportunities and to do so in a financially successful way. You see that optimism in our new unit guidance for 2022 grounded by both volume and profitability results, supporting our decision to quicken the pace in measured ways. As it relates to new shop profitability, our results in 2021 affirm that we are right on track. Our objective is to combine high AUV with outstanding contribution margins. Our goal is to have each new shop deliver a year two shop level contribution of around 30%. For the year 2021, company-operated shop gross profit was 21.1% of company shop revenue. Depreciation was 4%, resulting in a company-operated shop contribution of 25.1%. Importantly, pre-opening expenses were 3.2% of company-operated shop revenue. And considering our long-term target of around 30 plus percent year two shop margins, we believe we're right on track. As part of our company-operated shop contribution of 25.1%, please note that this figure includes both the aforementioned pre-opening expenses and other new unit inefficiencies, neither of which are included in a shop second year of operation. Let me now walk you through the change in company-operated shop margins for both the full year and the quarter. As I know in today's environment, there is more focus on recent results versus long-term trends. As we have discussed last quarter, lower discount and promotional expenses positively impacted 2020 results. Based on social distancing protocol, we suspended use of paper stamp cards shortly after the COVID-19 pandemic began in March 2020. This persisted until Dutch Bros app launch in February 2021. Discounted promotional expenses when expressed as a percentage of company shop revenue fell from the upper teens in 2019 to the mid-single digits at the end of 2020. We're now trending in the low double digits despite having such a large percent of our revenue driven by rewards customers. Joth spoke at length about all the positives from having a digitized rewards program. We track this investment very carefully. And if membership rises further, we would expect this count promotional expenses to rise accordingly. However, having more rewards members is a big positive for engagement frequency and ultimately revenue expansion. Secondly, as we move through the pandemic, we were very careful not to escalate our menu prices. In November, we took a modest price increase, which was our first measurable price increase in over a year for our company shops. That price advanced landed well for us, was appropriate relative to our desired positioning in the market. With that grounding, let's now review company-operated shop contribution margins given the importance of those trends to our investment thesis. On a full year basis, company-operated shop contribution decrease from 28.7% of company-operated shop revenue to 25.1% or a total reduction of 360 basis points. Of that 340 basis points comes from the change in discount promotional expenses. Let's quickly look at the movement in beverage food and packaging costs and labor costs given those are the two most significant costs. And the industry in general has been challenged by these two areas over much of 2021. Beverage food and packaging costs increased from 22.4% to 25.3% or 290 basis points, 120 basis points of that increase is related to the change in discounts. That leaves 170 basis points of real changes. Mix and recipe changes drove 100 basis points of the increase. We have previously mentioned our decision to shift to a premade mix for the Dutch freeze category of beverages driven by a number of operational considerations. Further the costs and inefficiencies that are a normal part of opening new shops makes up the remainder of this increase. We opened many more shops in 2021 related to 2020. So this impact was outsized in our year-over-year comparison. Labor costs increased modestly from 29.3% to 30.6%, or 130 basis points. 140 basis points that increase is related to the change in discounts. That leaves just 10 basis points real reduction despite incurring costs increases in labor. For example, in our West Coast markets, previously legislated minimum wage advances are in their final phases. Also, beginning in 2021, we instituted minimum staffing levels in our stores, which slightly increased labor costs, but were necessary to set up shops at the beginning and close of each day. Notably, these added expenditures will persist as we open many more shops in 2022 versus 2021. However, on the positive front, we incurred lower COVID related costs in 2021, as compared to 2020, which helped offset most of those increases. On the whole, our underlying labor costs have been stable, with the impact of discounts driving change in the labor percentage. Further evidence comes in our lack of turnover, the stability in our workforce, and we are not struggling to staff at the level other retailers seem to be is allowing us to keep our cost stable. I want to reinforce that as a people first company, we are always assessing how we reward our teams, and how we create engagement in ways that go beyond compensation. We are fortunate to not be struggling at this point. But we are watching this very closely. In the fourth quarter, company-operated shop contribution decrease from 24.5% of company-operated shop revenue to 18.7%, or a total reduction of 580 basis points. The change in discount and promotional expenses drove a 580 basis point reduction in margins, identical to the entire drop in this measure. The fourth quarter of 2020 represented our lowest discount and promotional cost expense of the year, when expressed as a percent of revenue. Similar to the full year 2021 view I just noted, there are many moving parts and margins, but the major driver was this change in discount expenses. Please note that our menu price increase began to take effect in early November of 2021. And therefore any support of margins from pricing was for a partial quarter. Beverage food and packaging costs increased from 22.9% to 26.8% or 390 basis points, 190 basis points of this increase is related to the change in discounts. That leaves 200 basis points of real change or 30 basis points more than the full year trends noted above. Few things to point out, first we incurred a bit more ingredient cost driven by inflation. And second, accelerating new shop development means we will have some cost efficiencies as we open up new shops and establish logistics and new markets. Labor costs increased from 29.7% to 30.5% or 80 basis points, 220 basis points increase is related to the change in discounts. That leaves 140 basis points reduction to account for in the quarter. In Q4 2021, we experienced lower COVID related costs than in Q4 2020 driving 120 basis points improvement. All of these metrics are spelled out in visual detail in the investor presentation posted to support this earnings release on our Investor Relations website. Some words about fourth quarter profit and its quality. As we mentioned in the press release, this is being limited by a number of factors. On $1 basis, we had higher pre-opening costs, which supported record new company shop openings. Up to total $6.2 million pre-opening costs incurred $1.1 million were attributable to openings late in the third quarter, leaving $5 million pre-opening costs for shops open within the fourth quarter. On a per shop basis, this is higher than our norm as we had a number of openings at represented first shops in their respective markets and speed to market also had some costs. First shops have higher pre-opening costs as we spend more time with our opening crew, training our staff and creating a solid competent base for expansion. For the year 2022, we expect the average pre-opening expense per shop will be consistent to what we saw in 2021. We expect to incur approximately two thirds of our pre-opening expenses in the first half of 2022 as a result of this type of opening and pace. This is important factors if you look at our profitability in the first versus second half of 2022. Adjusted EBITDA was essentially flat in the fourth quarter compared to the same period in 2020 yet revenue growth in the quarter was over 50%. I just noted the significance of pre-opening costs within our fourth quarter results. Pre- opening costs in the fourth quarter were $6.2 million or $2.5 million more than in the prior year. Additionally, the fourth quarter of 2020 was also positively impacted by the lower rate of discount promotional expenses, with that impacting approximately $2.8 million. Finally, fourth quarter of 2021 was burdened with $3.1 million in ongoing costs associated with being a public company, which did not exist in the comparable quarter of the prior year. As a different set of costs versus a specific equity offering costs we add back to our [Indiscernible] adjusted EBITDA. In total, the impacts I mentioned were $8.4 million. As a reminder, adjusted EBITDA was $13.3 million in the fourth quarter. Once we consider the higher pre-opening costs, and public company costs in 2021, and the positive impact of lower discount promotional costs in our 2020 results, revenue growth and adjusted EBITDA growth become more synchronized. We made the conscious decision to accelerate growth in the fourth quarter and into 2022. And while we always try to balance the profit growth equation in the near term, we're also keen to focus on long- term high quality revenue that will yield lasting profit and growth. And speaking of unit growth, a few words about our liquidity. As of December 31, we had $18.5 million in cash equivalents and $65 million drawn on our revolving credit facility, reflecting $46.5 million in net debt. We also had $85 million in committed undrawn capacity in our revolving credit facility. Yesterday, we refinanced our existing credit facility to provide greater liquidity and maintain a strong balance sheet geared for new shop growth. Our new five year facility provides us with $500 million in committed capital, split between a drawn term loan, undrawn delayed drawn term loan and revolving credit facility. We believe this structure gives us ample capital to fund company-operated unit growth, while always maintaining modest leverage levels and a conservative balance sheet. We are opening more shops sooner. And both our latest openings and future company shop pipeline is shifting more toward ground lease arrangements, where we spend more capital upfront and return for lower rent going forward, as opposed to a build to suit arrangement. It is evident that we were able to go fast over 20 openings in December and a higher annual objective for 2022 versus 2021 total openings. We have also noticed that taking more control of the construction process has allowed us to move through the many challenges being faced today faster and more efficiently. That requires more liquidity access going forward, should we choose to need it. We are grateful to our banking partners for working with us to achieve solid, affordable access to liquidity to fuel growth. Before turning it back over to Joth, we wanted to share guidance for 2022 and select metrics for Q1. For 2022 specifically, total system shop openings are expected to be at least 125, of which at least 105 shops will be company operated. Total revenues are projected to be in the range of $700 million to $715 million. Same shop sales growth are estimated in the mid-single digits. Adjusted EBITDA is estimated to be in the range of $115 million to $120 million. Capital expenditures are estimated to be in the range of $175 million to $200 million, which includes approximately $15 million to $20 million for our new roasting facility that we project will open in 2023. For Q1, total shop openings are expected to be at least 30, of which nearly all shops will be company operated. We expect approximately half of these shops to be the first shops in their respective new markets, requiring our highest level of opening support. Same shop sales are estimated in the mid-single digits. G&A spending includes the two events Joth mentioned in the range of $2 million to $2.5 million. As a reminder, our business is seasonal with our best, consistently high daily volumes taking place in quarter two. Please see our supplemental slides in the investor deck for more details. With that, I'll turn it back over to Joth for closing remarks.
Joth Ricci: Thanks Charlie. We have all the building blocks in place to ensure Dutch Bros remains a successful and enduring company. A powerful authentic brand that shares the love, strong people systems that drive company culture and fuel our shop growth. A highly engaged customer following, customizable and uniquely curated beverages, highly consistent and highly attractive unit level economics, and affordable model that is successful across geographies, and an engaged co-founder with an experienced leadership team. Six months after our initial public offering, we are staying true to our core thesis. In many respects, we were ahead of the game with more revenue more profit and more stores than what we expected. In this time, we've hired more people and facilitated tremendous growth opportunities for our employees as well. We've treated our customers well. And we're doing our part to be good partners in our communities. Thank you again for your interest in Dutch Bros. And now we'd be happy to take questions. Operator, please open the lines.
Operator: [Operator Instructions] First question is from the line of John Ivankoe with JPMorgan.
John Ivankoe: Two questions, if I may, I'd like to actually start on the CapEx number. I mean, that is a pretty substantial change, at least relative to what we had in the model going to $175 million to 200 million. So I guess two things. First, could you repeat how much is going to that roasting facility, which I guess would be isolated to ‘22 and ‘23? But secondly as the business shifts from build to suit to ground lease how much are you expecting to spend per ground lease unit? And how much lower occupancy costs or lack of landlord financing do you think actually could benefit the P&L as you bear more of that upfront cost? And I have a follow up.
Joth Ricci: Yes, so in 2022, we expect about $20 million of capital related to the roasting facility that will open in 2023. In terms of the ground lease, if you recall from our IPO work, we said that a ground lease was our capital, our cash about $1.3 million to $1.4 million. A build to suit is about $500,000 cash contribution, if you take that differential, essentially time 7%. That's the different rent, that's the lower rent you'll pay if you select the ground lease.
John Ivankoe: Yes, and doing you still and even if I were to back out that $20 million for the roasting facility on 105 company units. I mean, it still does feel a little bit high in CapEx, I mean, is there anything else going on the corporate basis, perhaps in remodels that the system may benefit from as part of that CapEx or is it you are once again frontloading, fiscal ‘23 openings, perhaps in some of that fiscal ‘22 capital budget?
Joth Ricci: Yes, you're on it, John, that's we do have some frontloads spend as we move in and keep ramping up into ‘23. Some pre spend, if you look – if your pipelines, 65% to 70% ground lease, and you start to do that shift versus where we work for the full year ‘21, you use up more cash, we'll get a little more active on upgrading units, some things that we had just delayed, with all the COVID disruption, we just put things on the back burner. So we'll go ahead and take care of that now and throughout 2022. Go ahead.
John Ivankoe: No please.
Joth Ricci: Well, I think also coming out of IPO, we had some more cash expenses related to taxes and the equity piece of employee compensation that we had to front as well. So we left ‘21 with a little bit more out on our line than we would have expected.
John Ivankoe: Okay, and as we think about the ‘22 and ‘23 development I mean is there any rethinking of the Dutch Bros box of the future, maybe including a little bit more automation, including fountains, for example maybe just kind of figuring out how to be more efficient perhaps with some of your best beverage preparation, waste consistency, what have you, is that something that's now contemplated in your capital budget for ‘22.
Joth Ricci: Well, I know that, John, we're in the middle of testing several operational improvements inside of our stands, that if go well in testing phase that we could see start to roll out things like fountain systems or things like tap systems for cold brew, which we haven't placed in several locations already. So to put a specific number on that I couldn't give it to you right now. But there are several operational improvements underway inside the stand.
Operator: We have next question from the line of Sara Senatore with Bank of America.
Sara Senatore: Great. Thank you very much. Just, I guess, a clarification, and then a question on the loyalty programs. So first on the comp for the quarter, I think initially, you had expected that to be mid-single digits as well and end up being quite a bit better than that. Was that just kind of the upside from the success of the seasonal? Your beverages and the mix shift or I guess I'm just trying to understand to what extent, for example, this guidance for 1Q might prove conservative and so far it's sort of similar what you gave us about the quarter that just passed. So that's the first question. And then the second question is on the loyalty members, you mentioned that they're spending about 3% more, but is, are you also seeing higher frequency, just trying to get a sense of whether overall spend might be even bigger than that, when we've seen other loyalty programs, I think the initial lift has been pretty meaningful. So trying to gauge kind of what is still the opportunity, or maybe how your loyalty program might differ from some of the other that we've seen, thanks.
Joth Ricci: Thanks Sra. A couple things on the promotional side of fourth quarter comps, as we did, as I mentioned, we executed a holiday program that was as strong and in really surpassed all of our expectations related to what we did in kind of a December period. And then kind of what we executed in the fall and how our team did that. I think it surprised all of us and how well that was received by the customer. And the response that we had, we've also been working on premiumization of some of our products and utilizing the increased popularity of our soft shop top business, and other ways to premiumize our business. So we just I think our team did a good job of pulling together just incremental business during that time. We also, I believe that we received a nice halo effect from the IPO in the news, in the fourth quarter, we had more mentioned of Dutch Bros across all regions of the country than we'd ever seen in the past. And I believe that there was an impact on that in a very positive way to our business. As it relates to reward, do you want to handle that?
Charley Jemley: Yes, I think, so you -- couple things there on loyalty spend. When you look at how much more a loyalty member spends in our program versus a non-loyal number, it looks a little like, we have very loyal group of consumers across the business, whether they're part of the rewards program or not. But we think that the biggest thing that can happen is if you look at our top tier frequent customers, and you drop down to the next tier, there's a pretty significant difference in frequency. And so we feel like as we can do some effective things to get that frequency up in that next quintile or quartile of customers on down that's perhaps the biggest thing we can do. We also believe that stored value is a big idea, not only operationally but just to create attachment and engagement loyalty, and we're really at the infancy stages of getting customers to load money on their program.
Operator: Your next question from the line of up Andy Barish with Jefferies.
Andy Barish: Hey, guys, let me do the follow up. First, just on that last comment, Charlie, what's what percentage of rewards members roughly have pre-loaded funds at this point and are there any specific programs to drive that higher?
Charley Jemley: So about 20% to 25% of our tickets from rewards members include stored value, a stored value activity. And I can't tell you about a specific promo that's coming, but we are working on ways to either incent them with additional points if they were load or some additional reason to try to get that attachment up.
Andy Barish: Got it, and then can you just give us I guess a little bit more color on just sort of the EBITDA, I guess the absolute dollar is building up, I mean, it sounds like the first half especially the first quarter will be a little bit lower than if you just straight line your $110 million, $115 million, or $115 million to $120 million guidance. Sorry about that. So just trying to kind of get a sense of the cadence and how we should think of the discounting impact as we move into 2022, again, understanding that it is kind of a moving target.
Charley Jemley: Well, discounting, once we got past this fourth quarter in the first quarter, we will roll over the launch from ‘21. So we'll have had a high level of promotional and discount expenses in quarter one in ‘21 will lap that in quarter two of ‘22. So we'll get a little bit of favorability from that lap, the biggest thing going on is, we're going to have a fair degree of pre-opening expenses in the first half of this year, more than 50% of those expenses will come in the first half because of this dynamic of these first-in shops. So we average about $125,000 per store in pre-opening, first shops can spend over 200, and then it falls off after that. So the way our pipelines shaping up, is we're going to have a lot more a fair degree more pre-opening costs in the first two quarters of ‘22. And that's going to create a timing drag on earnings until we reach the second half and we kind of get that back. Also note we're opening more stores than probably you originally would have modeled. And so we're going to have more pre-opening expenses in aggregate related to that as well.
Operator: We have next question from the line of David Tarantino with Baird.
David Tarantino: Hi, good afternoon. My question is on the shop level EBITDA margins. And, Charlie, I just want to get your thoughts on what you think the right long-term margin of the business is, and whether that's changed in your mind or not. And then if you think about all the details you gave us for the fourth quarter and some of the non-recurring impact, I guess what's the bridge to get to whatever your long-term assumption is on shop and EBITDA?
Charley Jemley: That’s a great question, David, I would get you to reference. And it's hard because we just released this stuff is page 12, on the deck that we put together up on the website, and it does a bit of a bridge. And if you go over to the right hand side, you look on a trailing 12-month basis at our margins, and you see from contribution perspective, we reported 25.1% for the full year, that's got some preopening in it, we put that off to the right, we're not going to have -- expect to not have COVID costs if we do we will identify that. So if you look at that sort of cash margin, I'll call it in the upper 20s, including new stores. And if you were to take out the drag you get from new stores, because again, we're going faster and faster. And you were to sort of put that back in as well as the fact that we didn't have much of a price increase in ‘21. You get to that I'll call it 30% cash margin in the second year, a store is open and that ties right to our thesis. So as long as we feel like we can hold the line on investment costs, and we're doing just fine there. We can do these average unit volumes 10% plus versus the system average. And we get a 30% second year cash margin we have a really compelling investment thesis that's very much in sync with what we articulated back in the fall.
David Tarantino: Got it and then I guess you're always going to have new stores in the mix dragging that number down. So what do you think a good at the expected growth rate you have? What do you think a good steady state on a reported basis would look like? And I apologize, I don't have a good internet connection. So I can't download the slides right now. So it may be I have it in there but.
Joth Ricci: Of course, yes. So if you just -- if you hit the brakes, right, which is kind of the way this slide is set up, if you hit the brakes, and you had no pre-opening costs, and then you had the stores mature and season out to their margin, you're probably looking 50 to 100 basis points of drag from just the margin of new stores that come in, right, either late in the quarter or partly through the year. So that's the way I would think about it is as we're -- since we're going this fast, if you just remove pre-opening, the immaturity drag is 50 to 100 basis points in the overall reported margin.
David Tarantino: Got it, that's very helpful. And then the last question, sorry, for the too many follow up there. But you mentioned the fairly modest price increase, and it is really modest relative to what we're seeing elsewhere. Are you contemplating adding more pricing to address some of the cost pressures in the business this year?
Joth Ricci: So we look typically in a normal timeframe, we're going to look at our pricing windows every six months, right in the fall before holiday in the spring, for summer. And so we're very mindful of that. I think we've been fortunate to not have a lot of inflation drag, both in ‘21. And frankly, moving into early ‘22. And so we haven't felt compelled we don't price to a margin. First of all, we want to price to what consumers are willing to pay. And so we're just honestly, we're flexible, and we're watching that closely. But we do with the mindset of the, our relative position in the market and the customer not to seek to a margin level. But we are feeling good as we enter ‘22 with the trajectory of our margins, given everything going on.
Operator: We have next question from the line of Jeff Bernstein with Barclays.
Jeff Bernstein: Great, thank you very much. First question was just on the restaurant margin you were discussing earlier, as you mentioned, obviously, the big focus for investors because a lot of peers are facing more pressures, perhaps than you are, I was hoping you could maybe just share what you think, well, COGS and labor inflation might be in ‘22. And therefore, if you can give any kind of directional color, just because you gave so much granularity on the fourth quarter, what guidance might be for the first quarter of the full year ’22 on that restaurant operating margin line?
Charley Jemley: Yes, so we're fortunate that the two big costs, cost of goods and labor, we don't have any real significant upward momentum in the labor line. So we're starting halfway better than everybody else to begin with. And then secondly, we have a pretty simple pantry of goods. What we're really dealing with right now is freight and logistics costs going up. But we're able to do as we've shown in Q4, and the walk I gave you in COGS, we are really able to handle that pretty effectively. And we'll get a full quarter of the price impact from November in our Q1. In terms of guiding a specific margin for Q1, I'd prefer not to do that. It is a -- Q4 is the lowest seasonality, Q1 is the next lowest seasonality. And then we kind of get into Q2. But I just think from other than the discount rollover from a year-over-year perspective, we're just not feeling compression in margins. And the biggest thing for us is our labor costs are stable.
Jeff Bernstein: Understood. And then the unit growth projection, obviously, the bump up impressive considering the environment we're looking into for ‘22. But I think you mentioned obviously not a real estate company. But do you have any concerns over or any pressures you're seeing related to supply chain or equipment or permitting delays? I would think that has to have some impact unless you have a pipeline much greater than the 125. And you're therefore factoring in some challenges from that perspective, just trying to get a sense for your level of confidence with that increase despite the headwinds your peers are referring to. Thank you.
Joth Ricci: Hey, Jeff, this is Joth. We absolutely have considered all those factors in guiding to the new number. So your hunch is right? And we certainly, are working on pipeline well into ‘23. So all of those factors have been included in the way that we've looked at the potential for our openings for this year, which is why we took the number up to 125.
Operator: We have next question from the line of Andrew Charles with Cowen.
Andrew Charles: Great, thank you. You just mentioned the app remembers orders for the 60% of tenure utilized by the Dutch rewards program. I know it's early days, but can you talk to your philosophy on how to curate offers at this stage. And then as you look at couple years out, as you collect more data, data mining gets more sophisticated, what's the vision for how you plan to curate offers longer term. I know, for instance, on the mobile order side potentially firing in those orders or prepping those orders, if you will before customers can really get to the stores and start to try to get them in advance or at least scan at the point and have the ability to scan them at the point of order till they help accelerate, but just wanting to be a little bit more imaginative around where this could go longer term.
Joth Ricci: Yes, Andrew it’s Joth. As we discussed for 2021, our goal was to test as much as we could on variable offers. So for example one of the programs we ran in December was about having a new offer every day of the week for seven straight days and testing how customers responded to different point levels. So we could start to zeroing on what's our most effective promotional program that we can run. So we did everything from double points on a specific item to bonus points on a total order to get an extra sticker. Like how did that -- and then what we've done is we've tracked lift, we track traffic lift, we track sales for that day, and we really start to identify like what the impact was. Another key that we'll do is we'll do regional activations as well. So we have tested things like encouraging people to load, stored value, and in what that type of promotion offers. And then going back to that same customer group and encouraging them to spend. So how do those activations work and we've also tested those down to market levels, and in some cases down to micro market levels. So I think it's safe to say that we've run hundreds of tests over the course of 2022. And really starting to kind of compartmentalize and build a strategy for how we build the app, how we use it to grow sales, how we use it to effectively manage a dynamic pricing model. And encourage more develop amongst probably our mid and second tier users. So we can get more traffic out of that customer tier. But all in teams doing a great job of learning. And I think as we move forward, I think my goal would be is that we could activate a promotion at the single customer level. That could be a few years away. But I think that you're effective in building a customer relationship with one to one relationship.
Andrew Charles: Okay, thanks, Joth. That's really helpful. And then Charlie, quick follow up, guidance for mid-single digit comps in 2022 very encouraging. I know you're guiding that level as well, for the first quarter just you are lacking the easiest comparison of the year in 1Q. So just curious, this guidance embed some level conservatism for the quarter or perhaps you can help us out just two thirds of the way through the first quarter that January maybe was a little bit more soft at Omicron, before bounding in February, just looking to better contextualize the guidance for 1Q.
Charley Jemley: Yes, it was softer in January. It was better in February less outages. We're sitting ahead of the mid singles right now. We're like everybody don't know where the world's going to go over the next 30 days with all that’s going on. And so we're just a little tepid about how we look at things. It doesn't really move the needle much the biggest revenue driver is annualization in new stores and new stores getting added so it gets a lot of talk track and it is important to the underlying health of the business but it's really not that financially meaningful right now as fast as we're growing the top line. That's why we don't -- we try not to over think it.
Operator: We have next question from the line of Chris O'Cull with Stifel.
Chris O'Cull: Thanks. Joth, I was hoping you could unpack the opportunity you are seeing in Southern California a bit more and why you think you're seeing such a strong consumer response relative to what you might have previously expected?
Joth Ricci: Yes. As we've over the last year, as we made that move into Southern California, it's, some of it is just a people equation. And the fact is the density of people in the opportunities in that market as we looked at it we just as we've launched in Texas, and got into some bigger markets, and I've seen success in places like Phoenix, in Sacramento, in Denver with our larger cities, we just felt like the opportunity in Southern California was tremendous. Our plan is to stay in the suburbs of the major markets, our plan is not to go into Los Angeles or San Diego proper, but to stay in the outer skirts of those counties. We opened in really in Riverside County, and in Palm Springs to begin with, and have now started to kind of trickle in more, including some development that we have in San Diego County, in the second quarter. So I believe in our modeling, when we launched the IPO, we said the California was about 30% developed, and considering what we felt like the total opportunity was in that state. So while we have a very well developed market in Sacramento and continuing to grow new stores, as our franchisees, and in that market, we think that the Southern California opportunity really will make up the bulk of that 70% that was untapped in the state of California.
Chris O'Cull: Okay, and then, I was hoping you could also provide any or talk about any initiatives you might, you guys might be working on this year to improve drive thru speed of service, just to help reduce the number of look and leave.
Joth Ricci: Yes, well, now that we have a shop in Tennessee, that hits home, but the number one thing we can do is improve drive thru speed and service. And but we want to be careful about putting our people on a clock, because we think that we want people to serve speed with quality, not get too quick and make mistakes. And so what we're doing, we believe the app and the continued growth of the app and the encouragement of the app, I think part of why our Brewista are the number one sales people for the app and having customers convert, it does improve speed, it's the number one way for people to improve speed in our lines, is to continue to use that app because it removes the friction in the line to do that. The second thing is we just continue to focus on our managers, with our teams to have very efficient service. And some of that is art, not science, right. So we have to be careful that we don't upset a customer who does want to talk to one of our employees who has built a great relationship with them. We don't want to rush them through because we're trying to quick in the line, so as to find dynamic between taking care of people and improving our speed. But I think with the constant attention of our leadership in the field and field operations and that will help. The last thing is as we build our infill model, we will continue to relieve pressure off of some of our larger locations, and make sure that we're balancing volumes. As Charlie mentioned, we've got four locations now in the College Station, Bryan market. And the pressure relieved from number one is really helping out balance the volume across the market, which also helps improve speed and improves our customer service.
Chris O'Cull: That’s helpful. Charlie, can you remind me what kind of cannibalization measure you looking for this year as you backfill some of these markets.
Charley Jemley: So about 100 basis points of sales transfer is what the drag is on total comp. If you look at what happened to us in the fourth quarter, we had about 140 basis points. We went very fast until very quickly, and we're kind of siphoning off 10% to 15% when we hit a store just to give you a relative level of understanding on that. And that's back to Joth's comments is the most important thing is we can infill relieve pressure and create opportunities for the source to grow more effectively.
Chris O'Cull: That’s helpful. I am looking forward to you guys infilling Nashville.
Charley Jemley: We're going as fast as we can. Yes.
Operator: We have next question from the line of Sharon Zackfia with William Blair.
Sharon Zackfia: Hi, good afternoon. I guess a question about new markets, as you are building out these new markets, I'm getting all choked up here, and I need water or coffee. What are you learning about how loyalty the digital loyalty program ramps in new markets and how to best build awareness? And then, Charlie, on the discount side of the equation, I know you'll have some residual, of course in the first quarter, given the timing of the lapping last year, or the initiation last year, can you kind of quantify how much discount impact you expect in the first quarter?
Charley Jemley: I think the positive lap is about 100 150 basis points, if I recollect that on the discount rate, from a little higher elevated rate in quarter one of 2021 to where run rate is right now. And roughly, I think that's the number. So that was the second part of your question.
Joth Ricci: Yes. The first quarter. Sharon is really it's, the benefit of our new markets is that we're opening our stands now with the app being not to our new customers, that's just part of the program. And so QR code on the cup, QR codes on the cup of Brewista is encouraging use of it, downloads of the app before you even make your first visit, so on and so forth, how that compares to comp stores? I don't know the answer to that something we can certainly find out. And I think that's a good question. But intuitively, I will tell you that the app has been very positive for us as we've executed our new plan. And I do think it's a result of why the shops that we've opened in the last year, with the app in place, have done so well.
Operator: Sharon, you have any further questions?
Sharon Zackfia: All right, I would probably choke if I asked anymore. So I will end it there. Thanks.
Operator: We have next question from the line of Joshua Long with Piper Sandler.
Joshua Long: Great, thanks for taking the question. Perhaps following up on that last point, when we think about the opportunity around throughput, or just the overall operational efficiency by driving that digital tender mix higher, curious if you might be able to share any of the experiences or learnings you have for those stores where perhaps they're indexing or over indexing ahead of the system, I think you mentioned in 4Q, that was about 60%, of new tender was to that -- storage that you've seen that next Q higher and just what you've seen work or how you might think about that, translating to the rest of the system as that piece of the business scales.
Joth Ricci: So if a higher percent of sales is coming from rewards members in one shop relative to another, I mean if CFC, when I look at some of the data upwards of 70% or so of tender come in some shops, the higher uptake shops for reward, sometime is as low as 50. Not enough, really not enough data that to figure out whether that's affecting comp or not at this stage. Certainly something as we click down on this a little further is back to micro targeting, where do we have the best uptake on rewards is a percent of tender and where do we have the least good uptake and how do we target that, and try to get that higher in the lower ones, because we know that creates a lot more attachments. So we're in the early innings. As we said, we've done a lot of testing, we can do click downs to look at this a lot closer. And there's a lot of opportunity.
Joshua Long: Thank you for that. And then just as a follow up thinking about the commentary around moving into some new markets, or at least in the first half of the year, having some of those stores being more focused on going into new markets. Just curious, how do you think about scaling? And I'm sure the answer varies across markets. But any sort of high level commentary you can provider in terms of -- starts to see that you're hitting that threshold in terms of either awareness or the initial stages of gaining scale in the market in terms of the number of units?
Joth Ricci: Well, I think it's a great question, I think as we've talked, we've kind of got this. I got this three pronged approach, right. So we need to, we're going into to new markets. I think that our entry into newer markets this year will be less than last year because we had so many new entries last year, that we're now going to be doing things like we did in College Station where we're opening shop number two, three and four and now filling in markets, places like Lubbock, Texas and Nashville and Kansas City, in Houston and Dallas, like a lot of work will be done on in filling those areas. We have a lot of legacy markets like opportunities where we can relieve pressure from existing businesses that have been around for a long time, in places like Sacramento and Phoenix specifically, where we can really offload maybe some higher volume stores and start to balance volume out. And then we still have plenty of new opportunities as we look east, where we'll be opening up brand new market. So it's kind of -- it's hard to answer that one way, because we're really kind of running three different business models very effectively, and a lot of it will be determined by like, what opens when, and how that affects that plus people that are – they are really moving into those new opportunities or taking on more of an existing opportunity. So I know it's a wordy answer. But there's a lot of factors that go into that.
Joth Ricci: Thank you. Well, with that, everyone, we want to thank you for your questions. Thank you for your time. Thank you for your continued interest in Dutch Bros. We are very excited about where we're headed in 2022 and beyond. And we want to thank everybody for their support, not just our calls and the things that we do, but also of our people every day in the stand. So thank you very much. We appreciate you and have an amazing day.
Operator: Thank you very much, gentlemen. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.